Operator: Good day. Thank you for standing by. Welcome to Rigetti’s Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. [Operator Instructions] Please note that today's conference is being recorded. I will now hand the conference over to your speaker, Dr. Subodh Kulkarni, President and CEO. Please go ahead, sir.
Subodh Kulkarni: Good morning, and thank you for participating in Rigetti's earnings conference call covering the third quarter ended September 30, 2024. Joining me today is Jeff Bertelsen, our CFO, who will review our results in some detail following my overview. We will be pleased to answer your questions at the conclusion of our remarks. We would like to point out that this call and Rigetti's third quarter ended September 30, 2024, press release contain forward-looking statements regarding current expectations, objectives, and underlying assumptions regarding our outlook and future operating results. These forward-looking statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described and are discussed in more detail in our Form 10-K for the year ended December 31, 2023, our Form 10-Q for the three and nine months ended September 30, 2024, and other documents filed by the company from time-to-time with the Securities and Exchange Commission. These filings identify and address important risks and uncertainties that could cause actual events and results to differ materially from those contained in the forward-looking statements. We urge you to review these discussions of risk factors. Today, I'm pleased to provide an update and report on our progress at Rigetti Computing. I'm excited to announce that we plan to introduce a new modular system architecture at Rigetti. By mid-year 2025, we expect to release a 36--qubit system based on 49--qubit chips tied together with a targeted 99.5% median 2--qubit gigabit gate fidelity. By the end of 2025, we expect to release a system with over 100--qubit’s with a targeted 99.5% median 2--qubit gate fidelity. We plan to develop the 336-qubit LiRAR system thereafter. Rigetti remains on track to develop and deploy its anticipated 84-qubit Ankaa 3 system with the goal of achieving a 99% plus median 2--qubit gate fidelity by the end of 2024. We believe superconducting-qubits have many advantages over other-qubit modalities including that they are fabricated using well-established semiconductor design and manufacturing techniques. Superconducting-qubits also perform faster gate operations than other-qubit modalities. Our system gate speeds consistently achieve an active duration of 60 to 80 nanoseconds, which is four orders of magnitude faster than other modalities such as ion traps and pure atoms. System speed is an important factor to enable hybrid computing with current CPUs and GPUs. After spending years optimizing the performance of our larger scale 84-qubit Ankaa chips and honing our multi-chip scaling technology, we are manufacturing 9-qubit chips at 99.4% median 2-qubit gate fidelity and in Q3 of this year, we demonstrated timing of 9-qubit chips without deterioration in performance. We believe the anticipated 4-chip 36-qubit system will be the most ambitious multichip QPUs architecture in the market and a significant milestone for the company and the quantum computing industry. Our approach to scalability mirroring multi-chip architectures for advanced applications with CMOS is supported by our recently announced alternating bias-assisted annealing or ABAA technique for precisely targeted cubic frequencies. ABAA allows us to consistently manufacture high-performance QPUs with the frequency precision necessary for high fidelities. The combination of our ABAA technique and a multichip architecture is the cornerstone of our scaling strategy as we move into developing higher-qubit count systems. In addition, quantum error correction will be essential to achieve the accuracy needed for quantum computers to realize their full potential. Together with Riverlane, we are working to advance our understanding of how to build fault-tolerant quantum computers using quantum error correction technology. Recently, we published a paper with Riverlane that demonstrates how integrating Riverlane's quantum error decoder into the control system of our 84-qubit Ankaa 2 system enables the achievement of real-time low latency quantum error correction, a critical process for developing fault-tolerant quantum computers. We believe that our 9-qubit Nuvera QPU is ideal for experimentation across a variety of research areas, including qubit characterization and hybrid quantum algorithms. We are excited to share that Innovaira QPU has been co-located at the Israeli Quantum Computing Center, IQCC with Quantum Machines OPX1000 control system and NVIDIA's Grace Hopper Superchip Servers, which was made available to partners for research and experimentation. The setup was recently leveraged for a reinforcement learning project which was presented at IEEE Quantum Week 2024 in September. The demonstration entailed optimizing single-qubit operations on the Nuvera QPU and is an exciting use case for using a Nuvera QPU for quantum machine learning development. Finally, the UK's National Quantum Computing Centre or NQCC officially opened the doors of its landmark facility on Harwell Campus on October 25, 2024. The facility will support world-class quantum computing research and provide state-of-the-art laboratories for designing, building, and testing quantum computers. The state-of-the-art facility includes our fully operational 24-qubit Ankaa class system that will be made available to NQCC researchers for testing, benchmarking, and exploratory applications development. In summary, I'm excited about our 2025 roadmap and progress on the technology front. We believe the combination of our ABAA technique and a multi-chip architecture will serve as the cornerstone of our scaling strategy as we move into developing higher-qubit count systems with improved fidelities. Thank you. Jeff will now make a few remarks regarding our recent financial performance.
Jeff Bertelsen : Thanks, Subodh. Revenues in the third quarter of 2024 were $2.4 million compared to $3.1 million in the third quarter of 2023. Revenue is an important part of our strategy to fund our ongoing research initiatives. We have added to our sales and marketing staff and have expanded our lobbying efforts to help grow our revenue in the future. Gross margins in the third quarter of 2024 came in at 51% compared to 73% in the third quarter of 2023. Revenue and gross margin variability is to be expected at this stage of the company's evolution, given the variable nature of our contract deliverables and timing with major government agencies. In addition, our recent contract to deliver a 24-qubit Quantum system has a lower gross margin profile than most of our other revenue. On the expense side, total OpEx in the third quarter of 2024 was $18.6 million compared to $19.1 million in the same period of the prior year. The year-over-year decrease in total OpEx was primarily driven by $1.1 million of expense recognized in the third quarter of 2023 for the Ampere Ford agreement, which expired in October 2023. Stock compensation expense for the third quarter of 2024 was $3.4 million compared to $3.7 million for the third quarter of 2023. Net loss for the third quarter of 2024 was $14.8 million or $0.08 per share compared to a net loss of $22.2 million or $0.17 per share for the third quarter of 2023. The non-cash change in the fair value of derivative warrant and earn-out liabilities favorably impacted our net loss for the third quarter of 2024 by $2 million compared to a negative impact of $5.2 million in the comparable prior year period. Cash, cash equivalents, and available-for-sale investments totaled $92.6 million as of September 30, 2024. During the third quarter of 2024, we raised $12 million from the sale of 11.3 million common shares under our current ATM program. As of September 30, 2024, up to 60.2 million of common stock remains available for sale under our current ATM program. As disclosed in today's 10-Q filing, we believe that our existing balances of cash, cash equivalents, and marketable securities should be sufficient to meet our anticipated operating cash needs until midway through the first quarter of 2026 based on our current business plan and expectations and assumptions considering current macroeconomic conditions. Thank you. We would now be happy to answer your questions.
Operator: Thank you. [Operator Instructions] And our first question coming from the line of David Williams with The Benchmark Company. Your line is now open.
David Williams: Hey, good morning, and thanks for taking my question. First, I guess congratulations to you and the team on all the continued progress. And Subodh, it sounds like you have increased confidence here in the roadmap and just the ability to achieve the targeted fidelities while continuing to drive that--qubit scale count. But I guess I'm curious, has anything changed in the way that you're thinking about the roadmap and maybe the strategy? And it feels like just maybe some of the progress especially on the tiling is moving at a really nice cliff here. So just anything that you think is outpacing the cadence that you thought you anticipated maybe earlier?
Subodh Kulkari: Yes, thanks, David. Yes, indeed as you correctly said, our confidence in our roadmap is increasing as we disclosed. We are making very high-quality 9-qubit chips with median 1-qubit gate fidelity of 99.9%, 2-qubit gate fidelity of 99.4%. We have high confidence we will drive those numbers up going forward and we have demonstrated now that we can tile 9-qubit chips without any deterioration in performance, and that continues to be at extremely high gate speeds as you saw, 60 to 80 nanoseconds. So we have pretty high confidence that we can start, tiling 9-qubits, and that's why we said we will tiling four 9-qubit chips to get us 36-qubit with incredible gate speeds and further it is in the mid 99s, by the middle to end of next year and, we'll continue thereafter to deliver the 100-qubit along with the 9-qubit timings plan and then eventually the [indiscernible] the 336-qubit. So overall our confidence is pretty good that we will be able to execute this roadmap. Our confidence in superconducting continues to be very high particularly because of the high gate speeds. We still think superconducting is the only way to really have hybrid computing that can coexist with CPUs and GPUs compared to other modalities where the speeds become a real detriment. So we feel pretty good about our roadmap and execution along that line.
David Williams: Fantastic. Great to hear. I guess on the other side, you had mentioned again the tiling of the 9-qubit chips and no performance deterioration. But were there any other metrics that were perhaps better than expected or other areas where you can you see further improvement is needed perhaps?
Subodh Kulkari: Well, certainly, we are learning tiling chips. We have just we did our first tiling work a couple of years ago with 40-qubit chips. But at that time, the fidelities were indeed much lower. Now we are dealing with mid-99s for fidelity with the 9-qubit chips. So it was important we demonstrated again that we can tile, chips at this high fidelity level without losing any fidelity. What is fascinating to me is that you can tie chips across and, have signals communicate across interposals and still maintain entanglement and all the critical metrics that we care about, fidelity, gate speeds, and other secondary metrics as well. So overall, it indeed does work and we feel pretty good that's the right way to go about scaling. The beauty of tiling chips is fundamentally we are taking advantage of the chiplet technology that has been pioneered by the CMOS industry. So we definitely get a huge leverage from CMOS industry and all the work that they have done in in tiling CMOS chips. Certainly, it puts some higher pressure on packaging and testing, and measurement, but that work has already been done by the CMOS industry, so we can leverage all that work very nicely. So it feels very good about tiring chips.
David Williams: Great. And maybe just one more if you don't mind, but just wanted to ask some of the government funding opportunity. I thought it was interesting you had talked about maybe spending a little more money there on lobbying efforts as we know one of your peers has done. But how do you think about maybe the areas of opportunity for funding? Is there anything out there that you see today that you've got a good shot at or anything maybe just any updates around the government funding? Thank you.
Subodh Kulkarni: Sure. So certainly, we look at the U.S. Government as the main place to fund our work. NQI, the original NQI Act signed in 2018 has expired. NQI reauthorization hasn't been signed yet and that certainly has impacted our near-term financials including Q3 and for the next quarter or two until the NQI reauthorization is signed. But we are pretty confident as bipartisan support for the NQA authorization to get signed and it will be signed as soon as a new administration is in place. Regarding other, DoD has some special projects as a DARPA project, fairly sizable, almost $300 million over seven years that we are trying to get part of that award. And there are other opportunities too, but you are right. There are multiple opportunities between DOE and DoD and we are spending more time and effort including some lobbying effort to try to get some of that money.
Operator: Thank you. And our next question coming from the line of Quinn Bolton with Needham and Company. Your line is now open.
Quinn Bolton: Hey, Subodh and Jeff, wanted to follow-up on David's question just on sort of the, I guess, change in roadmap to now focus near term more on tiling than kind of moving to larger single chip-qubit processors. I guess, what's -- where do you see sort of the balance between single chip processors and the number of tiles ultimately you might put in a system based on the work you've done? Do you think you'll as you look forward to 100-qubit to 1,000 plus-qubit systems, will larger tiles become important or do you now think that you could tile 16 or 25 of these lower-qubit processors and that might be a more efficient way to maintain gate speed and fidelity as you scale qubit count?
Unidentified Company Representative : That's a good question. We are not completely sure exactly what the optimal size of the qubit count is at which you should tie. I mean we certainly are choosing 9-qubit right now because we have a very good 9-qubit high fidelity chip ready. We'll certainly explore other qubit counts to look at timing as well over time. But right now, there's no reason not to tie 9-qubit chips. We are seeing good results and our 9-qubit chip is basically 6-millimeter by 6-millimeter, so you can do the math and say that even at the current, density, area density, we can get 10s of thousands of qubits, even 100s of thousands of qubits in a practical dimension of like 15 centimeters by 15 centimeters and that can fit into a dilution refrigerator fairly easily. So we feel pretty good that even 9-qubit tiling can take us quite high. Certainly, if we increase the area density by a factor of 4, which is not that difficult to do, we can squeeze in a lot more. So we -- that's why we decided to start tiling 9, but over time if we find that there's a better optimal number where we can tile qubits, we will certainly take a look at that. As I mentioned earlier, I mean we certainly get the higher-qubit count when we tie the chips. We haven't really seen any loss in any kind of critical metrics, fidelity or any of the secondary or tertiary metrics that we monitor. So no reason not to tie it. This is the right way to do it. It's the only truly scalable way. I mean, certainly, we ourselves are increasing the qubit count on a bigger chip. Some of our competitors are doing that as well. And it's not trivial to keep building a bigger and bigger chip and maintain the quality across the whole chip. The huge advantage and that's why the CMOS industry has standardized around the chip technology is you can literally make thousands and tens of thousands of these small-qubit chips at high yield and then you can pick and choose the best of those chips and tie them together. That's exactly what's going on in the CMOS industry day in and day out. So the 3-nanometer and 5-nanometer CMOS nodes which are harder to make, they choose a smaller tile size for exactly the same reason why we are choosing 9-qubit. So we are essentially leveraging what the CMOS industry has learned over the years and we plan to take advantage of that. Hopefully, that answers your question.
Quinn Bolton: Yeah, no, I appreciate the color. It sounds like tiling has certainly increased in terms of its importance in your roadmap looking forward. So I appreciate those comments. I guess, the second question is, you've had your sights set on a 99.5% qubit fidelity now for some time. How much higher above 99.5 do you think you need to get qubit fidelity or when perhaps more importantly do you start to pivot to quantum error correction? You had the announcement with Riverlane on primary correction this quarter. And so once you get 99.5%, do you start to pivot especially as the qubit counts go up on your multi-tile approach? Do you start to then focus more attention on quantum error correction or when do you think quantum error correction starts to play a bigger role in your roadmap?
Subodh Kulkarni: Well, it's already starting to show up as we announced with Riverlane. I mean our 9-qubit is at 99.4% right now and that's a good place to start doing error correction, which is why we are working with Riverlane right now and we are showing some pretty good proof of concept of how error correction works in real time at the gates which we are running at. Certainly, we will continue to push fidelity and what-- there is never an end to what is the limit for fidelity. I mean, as you know, CMOS industry right now is between 49 CMOS, 69 CMOS, sometimes even higher fidelity, but they continue to improve it and that's the way semiconductor industry is and we will do both the same route. I mean, right now we are effectively 2 9s beginning to approach 3 9s. That's where we are collectively in the superconducting side, but that's not going to stop. I mean, once we reach 3 9s in the next three to five years, we will go for the 4 9s and so on. But to answer your question at in the mid-2 9s which is 99.5, let's say, error correction starts becoming reasonable, you can start getting value out of your system from a practical standpoint. And we think that's why we think narrow quantum advantage which we define as taking practical applications and demonstrating superiority and performance or cost is achievable in the next year or two years with a couple of 100 qubits with the mid-99s type, fidelity, and error correction. So error correction is bottom line error correction is already starting to play a role in the mid-99s and certainly as we increase fidelity it becomes more and more important. So it's already here and now.
Quinn Bolton: Got it. And then a quick one for Jeff. You'd mentioned the NQCC contract being a lower margin contract for you. Now that the 24-bit QPU has been installed at the NQCC. Is that contract largely over and that gross margin overhang kind of now in the rearview mirror or are there still revenue to be collected under that NQCC contract that we should just be thinking about as we model gross margin over the next couple of quarters?
Subodh Kulkarni: Jeff, you want to answer the question? I don't know why Jeff is having a problem with his audio stream. But to answer your question, we expect NQCC contract to continue through the first quarter of 2025 and at that point, the NQCC current contract will end. We are working on a new contract with them, but the terms of that have not been decided yet. So the current gross margin challenge will continue through Q1 2025 with NQCC.
Quinn Bolton: Got it. Thank you, Subodh.
Subodh Kulkarni: Yeah.
Operator: Thank you. And our next question coming from the line of Krish Sankar with TD Cowen. Your line is open.
Unidentified Analyst: Hi, good morning. Thanks so much for taking my questions. This is Steven calling on behalf of Krish. Subodh, maybe if I could ask a couple more questions on the quantum error correction front. In terms of the announced progress with Riverlane during the quarter, just kind of curious what's the next major development milestones might be in terms of collaboration with Riverlane? And also kind of related to the work that NVIDIA and quantum machines are showcasing with your system at, I think some of the research that they published and also the system that's now installed at the Israeli Quantum Computing Center. Just kind of curious, like, for that work, does that tie in, tightly with the work you're doing with Riverlane, or is that related apparel effort that more that ties in more to feeding back to your fundamental quantum devices and how that tuning is performed to get better and more repeatable fidelity rates?
Subodh Kulkarni: Sure. So, two separate questions here. First, let me take the NVIDIA question. So as you saw in our press release, we are collaborating with NVIDIA at the Israeli Quantum Computing Center and really the goal is to understand from a fundamental standpoint how a QPU interfaces with the CPU and GPU. The reason that that will be extremely important for us as well as the whole industry and really that highlights the importance of superconducting quantum computing. Because we are dealing with tens of nanoseconds gauge speed, we can actually talk to modern day CPU and GPU and keep up with the data flow. Other modalities like trapped ion and pure atoms, although they have the benefit of slightly higher fidelity than where we are right now, they are four orders of magnitude. That's 10000 times slower than where we are. So from a practical standpoint, it really is not possible for a dark time on a pure atom quantum computer to stay in active communication loop with a CPU or a GPU and that's why the work that IQCC is doing along with NVIDIA GPUs, the Grace Hopper GPU and our GPU is so important for everyone to understand the pros and cons of GPU versus GPU and how the data bifurcation should be done. So that work is critical long term. That's what hybrid computing is all about and we are absolutely committed to doing that kind of work to understand how quantum computing fits into the broader datacenter hybrid computing ecosystem. So that's one. Regarding error correction, I mean there's a lot of work to do. We are just getting started. If you look at the CMOS industry or just the classical semiconductor industry, there are -- there's been a lot of error correction work over the last couple of decades. I don't want to -- simply put it in a couple of sentences here because you need to really go into the details of the multiple right now, we are talking about in the CMOS industry, 7th and 8th order error correction code, and there are various steps that happen to get to that level. And I expect us in the quantum computing, there's yet another complication because we are dealing with coupling of qubits. So it's not a simple situation where if there's a faulty CMOS transistor, you try it again and again. We have to do it with multiple couplings and if one coupling is bad, it doesn't mean the same cubit coupling with other qubits may be bad. So it gets a little more complicated as to how you do quantum error correction and that's where we are partnering with Riverlane who's an expert in many of these areas. You can certainly take a look at their site and what they have disclosed already in terms of roadmap but there's a lot of work going on in the industry right now in quantum error correction and how it differs from classical error correction and what we need to be worried about and how the roadmap is evolved. From our standpoint, certainly, the better quality hardware we can make, which is higher fidelity, faster gate speeds, and other metrics, that only helps. So we need to do our part correctly. But on the quantum error correction, they certainly need to take advantage of the hardware and to take full capabilities of the software layers that they do. I hope that answers your question.
Unidentified Analyst: Yes, that does. Thank you for that, Subodh. And I guess for my follow-up, I just had a question for Jeff on the P&L in terms of operating expenses. Just given the comments on higher sales and marketing spending, lobbying efforts and then also looking ahead to the development efforts on the 9Q and 6Q module system for next year. Any thoughts on whether we should be following for quarterly OpEx to be closer to that $19 million to $20 million range or could it be higher than $20 million per quarter for OpEx?
Jeff Bertelsen: Yeah. Are you able to hear me?
Subodh Kulkarni: Yeah, we can.
Jeff Bertelsen: Okay. All right. I don't know why the technical difficulty before. I mean, I don't think we'll see a significant increase in OpEx going forward. We are planning for a handful of new hires over the course of the next year. And as we had noted, we are starting to spend some more on sales and marketing. But I don't think it'll be significant or material. So I would expect our OpEx to remain in line or slightly higher than what we've seen in the most recent quarters.
Unidentified Analyst: Great. Thank you.
Operator: Thank you. And our next question coming from the line of Brian Kinstlinger with Alliance Global Partners. Your line is now open.
Brian Kinstlinger: Great. Thanks for taking my questions. Subodh, if the incoming administration is successful in getting the Quantum initiative reauthorization passed, does this lead to more government R&D procurements? I guess I'm curious how Rigetti might benefit in the short to medium term if this does pass.
Subodh Kulkarni: Thanks, Brian. I mean absolutely the NQI Reauthorization Act that is being debated in our Congress right now is critical for our funding in 2025 and the next few years. Right now there are multiple versions. The latest version at least in the Senate has a significant increase in quantum funding. The original NQI was $500 million over 5 years. The NQI reauthorization at least right now the number that is being discussed is almost 5 times higher. So we are talking $2.5 billion over 5 years. So assuming the NQI authorization is passed at that level, certainly it will help all quantum computing companies based in the U.S. and certainly we expect funding that we receive from places like Fermilab and Oak Ridge National Lab will increase substantially. In addition, and I mentioned this earlier, the Department of Defense also does fund quantum computing through several different initiatives and there is a DARPA program for what they call benchmarking initiative that's a sizable program on the order of $300 million or 7 years. So we certainly hope we can get some of that. So the amount of dollars that the U.S. Government is planning on investing in quantum computing is related to increase significantly. We are talking 4x, 5x increase starting 2025. And we certainly are looking forward to getting those bills authorized and appropriations done so we can start benefiting from that.
Brian Kinstlinger: Great. Thank you. And then as you continue to improve fidelity rates and meet your roadmap goals and with the new news on tiling, what are potential government customers? How are they reacting? And are you making any progress on some of the RFPs you've discussed in the past? Maybe not specifically on which countries, but you've mentioned you have a handful of RFPs out there.
Subodh Kulkarni: Yeah. I mean, the customers we talked to like the DOE, DoD and some other governments like the UK government and so on, they like our tiling approach and the ABA are using. I mean, we they believe and we certainly believe that that's the right way to scale up qubit count. I mean, it's easy to say you can keep increasing the size of the chip, but it it's not trivial to build 100 and thousands of qubits of, monolithic chip whereas dialing is a lot more practical. That's why the CMOS industry does it and that's why we think it's the right time to bring dialing in. So we certainly feel confident that's the right way to go about doing it. Some of our competitors so far have not ventured in this area. Could be because we have a lot of IP in this area, but also, maybe other factors. We certainly think tiling with the assisted bio suddenly is the right way to scale up qubit count, the hundreds and thousands of qubits over the next few years, and we are committed to it. So far, we have not seen any negative impact and obviously, we see a lot of benefits in timing in terms of scale-up. So we continue to push that one.
Brian Kinstlinger: Great. Thanks. And my last question is assuming you can continue to stay on your technology roadmap and reach 100 qubits at 99.5 median fidelity, how, if at all, does this change QPU purchases for R&D purposes? Does it -- is it unimpactful or do you think you start to see a little bit more adoption from other government labs?
Subodh Kulkarni: Well, assuming we execute our roadmap and we feel pretty confident we will so let's say we are at 100-plus qubit at 99.5% median to qubit capability by this time next year, along with error correction that we talked earlier about. I mean, certainly you start having a quantum computer that is capable of doing effectively what we call nano-quantum and one type applications who take some practical applications and demonstrate superiority in terms of performance or cost and that certainly will increase the appetite for, the U.S. government but other governments to start doing more research with quantum computing. Already the list of countries that has a quantum mission and plans to invest in quantum computing is getting to be on the order of 15 or maybe even 20 countries now and when they see that we are becoming more and more practical in terms of taking on real-life applications and demonstrate superior -- some superiority, I have to believe that, that will increase the funding situation at the various government levels. So we certainly think as we continue to execute our roadmap, the opportunities for sales to these research customers, primarily government, national labs, university academic kind of researchers will continue to increase. I mean, we have already quantified in our investor presentation that, along with IDC report that the market opportunity for business research applications in the next 5 years is roughly $7.5 billion So it's a pretty size and even if it's still talking to you, which I just point, it's still a very sizable market and that's really what we are focused on right now, getting our quantum computing capable to take on those kinds of applications, research applications and get a foothold in that $7.5 billion marketplace in about 5 years.
Brian Kinstlinger: Great. Thanks so much.
Subodh Kulkarni: Thanks, Brian.
Operator: Thank you. [Operator Instructions] And our next question coming from the line of Craig Ellis with B. Riley. Your line is now open.
Craig Ellis: Yeah. Thanks for taking the question. And guys, congratulations on the roadmap and technology development progress. Subodh, I wanted to start just by, going back to an angle on the prior question and where David Williams was with his inquiry on U.S.-based engagement activity. But the question's more focused internationally given the nice progress in the most recent quarter with the Israeli Quantum Computing Center and UK's NQCC opening with its Ankaa class system. The question is, as you look at the next 12 months or so with international engagements, how has your view changed in the last 3 months given the progress that you're making?
Subodh Kulkarni: Certainly with the progress we are making, Craig, we are seeing more and more opportunities with other governments. I mean, as I as I mentioned earlier, there's probably 15 countries, getting close to 20 countries now that have an active quantum program, a national quantum mission of some type with the goal of how quantum computing will help that particular country. And certainly U.S. Is the one that we focus on the most along with UK, but as you said we are getting more involved in the Israeli Quantum Computing Center. But you go along Western Europe and select countries in Asia, the opportunities are definitely increasing as the hardware gets more capable, as we start doing better quality demonstrations, not only in terms of hardware but also along with error corrections like what we just did with Riverlane. Also, practical application demonstration that we have done, like, we have done some work with Moody's and HSBC and Standard Chartered type financial customers and ADIA in Abu Dhabi. So when we publish those kinds of papers with some practical applications and show potential with quantum computing that increases the appetite of research-oriented commercial customers as well. So we certainly think as hardware continues to improve as the next year goes on we will continue to get better and better opportunities with government customers but also some commercial research-oriented type customers.
Craig Ellis: That's very helpful. And then the follow-up question is just circling back on the company's TAM view, and I think there were earlier comments about a $7.5 billion TAM over the next few years. Can you just help us calibrate the reasonable outlook that we should have over the next three or four years and then by the end of the decade as we think about where Rigetti is focused and all the progress that it's making with the roadmap and with things like scaling up with this tile based cubit approach? Thank you, Subodh.
Subodh Kulkarni: Sure. So if you take a look at our investor presentation, we cite the $7.6 billion number that IDC has in about 5 years time period, again primarily government, national labs and research-oriented customers. At least in the next 5 years, we believe a sizable part of that market is going to be on-premise quantum computers and a smaller part will be quantum computing as a service. Over the long run, we certainly expect QCaaS to dwarf on-premise quantum computing. But for the next five years, we think majority of the number and that's what IDC and other reports also concur with that. Next few years most of the market is going to be on-premise for research customers because they like to have on-premise computers as opposed to just through the cloud. So that's the number we are focused on right now, on-premise quantum computers over the next few years for research customers. Out of the 7.5, clearly, the IDCs and other organizations that have done that market study haven't broken it down by modalities. We certainly expect superconducting to be dominating that number mainly because of the gate speed and the higher qubit count capability. I mean it's great for trapped ion and pure atoms to demonstrate what they have done and they will continue to do that. I'm sure they will do many job in demonstrating high fidelity, low qubit count systems. But when you have 4 orders of magnitude slower than superconducting, it really cannot lend itself to hybrid computing and any practical applications in the data centers, which are dominated obviously by the CPUs and GPUs. So we think a big part of the $7.5 billion is going to be superconducting, all those other modalities will play a role. And within superconducting really, we think I mean along with us IBM is a key player in that marketplace. There are other competitors too. I mean, Google is there, but they are not quite interested in that kind of a market, nor is Amazon. There's a Finnish company called IQM and a Dutch company called Quantware. So there's a few competitors we have in the superconducting besides us and IBM. But we think given our position we definitely expect to be a leader in that space. So we expect a sizable market share of the superconducting portion. So when you do the math, we think that's a sizable multibillion-dollar opportunity for us to go after in about five years. Does that answer your question?
Craig Ellis: Yeah, that's extremely helpful. Thank you, Subodh and good luck as you push ahead.
Subodh Kulkarni: Thank you, Craig.
Operator: Thank you. And I'm showing no further questions in the queue at this time. I will now turn the call back over to Dr. Subodh Kulkarni for any closing remarks.
Subodh Kulkarni : Thank you for your interest and questions. We look forward to updating you after the beginning of the New Year with our fourth-quarter results and full-year 2024 results. Thank you again.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and you may now disconnect.